Operator: Good day and welcome to the SAIC, Fiscal Year 2016, Q2 Conference Call. Today’s conference is being recorded. At this time I’d like to turn the conference over to Paul Levi, Investor Relations. Please go ahead, sir.
Paul Levi: Good morning and thank you for joining us for SAIC’s second quarter fiscal year 2016 earnings call. This morning we issued our earnings release and joining me today to discuss our business and financial results are Tony Moraco, our CEO; and John Hartley, our CFO. Today’s call is being webcast at www.investors.saic.com where you will also find the earnings release and supplemental financial presentation slides to be utilized in conjunction with today’s call. Both of these documents, in addition to our Form 10-Q to be filed soon, should be utilized in evaluating our results and outlook with the information provided on today's call. Please note that we may make forward-looking statements on today’s call that are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from statements made on this call. I refer you to our SEC filings for a discussion of these risks, including the Risk Factors section of our Annual Report on Form 10-K and Quarterly Reports on Form 10-Q. In addition, the statements represent our views as of today and subsequent events may cause our views to change. We may elect to update the forward-looking statements at some point in the future, but we specifically disclaim any obligation to do so. It's now my pleasure to introduce our CEO, Tony Moraco.
Tony Moraco: Thank you, Paul and good morning. Since becoming an independent company nearly two years ago, we continue to deliver on our shareholder value propositions that we outlined at separation. During the second quarter of fiscal year 2016 we continued the execution of our strategy and opened new market access to the intelligence community through the acquisition of Scitor. With second quarter revenues of about $1.1 billion reflecting 16% total growth and flat internal growth, SAIC is position as one of the select few government service providers at scale with significant market opportunities. Second quarter adjusted operating margin was 5.9% excluding $12 million of acquisitions and integration related costs and adjusted diluted earnings per share was $0.66. Operating cash flows of $21 million were lower than historical levels due to various items occurring in the quarter that John will cover in the financial details momentarily. In summary, the second quarter results continue to demonstrate consistent performance across our diverse contract portfolio. Our customers continue to operate in an atmosphere of relative stability and are able to focus on initial objectives. As we near the end of the government fiscal year, customers have better insights to their budgets as compared to previous years. I expect that government fiscal year ’16 will start under a continuing resolution as Congress will soon return and face several other issues that require action in short order. After several years of our customers reducing their spend rates, the new budget realities, the difference between our operating levels and mandated budget casts is significantly less than two years. As a result this round of sequestration in 2015 should have less of an impact on most of our customers than in 2013. Turning to our business development results, second quarter award activity of $1 billion translates to a book-to-bill of 0.9, which is in line with our historical norms for second quarter contract awards. We continue to see strong demand for the broad capabilities we offer and with the additional intelligence community market access we are well positioned for future opportunities. We had several notable second quarter contract awards to demonstrate the traction of our protect and expand grow strategy. Notable awards in the recompete for Protect category are the $105 million DLA’s Prime Vendor MRO south central region, the $109 million U.S. Army Aviation Systems and computers resources and support contact and a $64 million Marine Core Enterprise Information Technology Services contract. We also awarded two notable new IDIQ contract vehicles in the second quarter onto our expand and grow initiatives. First, we were awarded the net sense to contract vehicle to provide a variety of services and solutions around network operations to the Air Force where we see additional market opportunity. Second, we were awarded prime contract positions on three IDIQ contracts to supply the army Tank and Automotive Command with knowledge base, equipment related, and research and development services. As one of four companies that were awarded all three contracts, SACI is now pursuing task orders with its new customer. With the contribution of Scitor’s backlog of approximately $1 billion, SAIC total contracts backlog at the end of the second quarter stood at $7.1 billion of which funded backlog was $1.9 billion. The estimated value of SAIC submitted proposals awaiting award is $13.1 billion. With nearly three times our annual revenues in submitted proposals awaiting decision, SAIC continues to take advantage of new market opportunities based on our scale and broad market diversification. Before concluding my remarks, let me give you an update on the Scitor integration. In short, integration efforts have proceeded as planned and I’m pleased with the progress. With like-minded cultures of dedicated service to customers of vital national interests, we have performed integration activities in a thoughtful manner to preserve the continuity of contract performance and minimizing impact to our employees. The leadership team has already identified numerous businesses development opportunities to leverage our collective capabilities into multiple markets. John, over to you to discuss our financial results.
John Hartley: Thank you, Tony and good morning everyone. Consistent with my remarks in prior calls, my comments today will exclude the minor amount of revenues and costs performed by our former parent. Our second quarter results include a full quarter of Scitor as the acquisition closed on May 4, the first business day of the quarter. Second quarter revenues of approximately $1.1 billion reflect 16% total growth and flat internal growth as compared to the second quarter of last fiscal year. While discussing operating income, I will provide addition information to make this historical activity comparable to current results, because as expected the acquisition of Scitor resulted in temporary expense impacts and the introduction of a significant amount of intangible asset amortization. Operating income of $52 million in the second quarter resulted in an operating margin of 4.8% and was impacted by $12 million of acquisition and integration costs that if excluded would have resulted in adjusted operating margin of 5.9%. Going forward and through the end of fiscal ’16 we expect additional integration costs of approximately $5 million as we complete the integration of Scitor’s IT systems. Both GAAP and adjusted operating income for the quarter included $11 million of incremental amortizations related to the acquisition. This amortization does not impact ongoing cash flow nor do we believe it impacts the value proposition of our investment. For fiscal 2016 intangible amortization associated with the Scitor acquisition is now estimated at approximately $32 million compared to the previously estimated $19 million. After FY’16 this intangible amortization will normalize to align or be below the previously estimated $25 million per year as the asset for the contract backlog is fully amortized during year one. EBITDA and adjusted EBITDA after acquisition and integration costs is a helpful measure of our profitability that can assist in evaluating the value proposition of the Scitor acquisition and of the combined company. As communicated previously, we expected adjusted EBITDA to be in a normative range of around 7% following our recent acquisition and believe we can continue to increase this by 10 to 20 basis points annually on average and over time. For the second quarter EBITDA as a percentage of revenues was 6.4% and after adjusting for the $12 million of acquisition related costs, adjusted EBITDA was 7.5%. These results reflect strong EBITDA generation for the quarter due to strong contract performance across our portfolio. Net income for the second quarter was $22 million and diluted earnings per share was $0.46 for the quarter. Second quarter results were adversely impacted by the acquisition and integration costs, which negatively impacted earnings per share by $0.20. Adjusting for these acquisition costs resulted in adjusted diluted earnings per share of $0.66. Our income tax rate for the current quarter was approximately 43%, which was impacted by non-deductable acquisition costs. Going forward, we expect a more normative rate of about 38%. I would like to remind you that we acquired a significant tax asset in the Scitor acquisition that we estimate will favorability impact cash flows by about $20 million a year for the next seven years. SAIC continues to have very strong free cash flow characteristics. However, in the second quarter we saw a decline in cash flows from operations as a result of cash outflows associated with the acquisition and integration costs of $12 million, timing of income tax payments of about $50 million and an increase in our day sales outstanding of 4 days to 55 days, which negatively impacted cash flow by about $40 million during the quarter. This increase in DFOs was partially attributable to the receivable balance on our Marine Core AAV contract of over $20 million. This fixed price contract calls for scheduled milestone payments as certain contract deliverables are met. Based on the current contract schedule, the receivable balance is expected to grow to $40 million by the end of fiscal year ’16 and it’s scheduled to be collected in the first half of fiscal ’17. In the June call I mentioned the potential for a return to a more normative level of DSO’s in the mid- 50 day range which occurred this quarter, but we will continue to strive to improve in this important area. Accordingly we had cash flow from operations of $21 million and after $5 million of CapEx in the quarter, free cash flow came in at $60 million. We expect strong operating cash flow in the second half of fiscal ’16 with full year cash flow from operations approaching $200 million. In conjunction with the closing of Scitor we utilized $157 million of cash-on-hand and entered into new credit agreements to fund the remaining $670 million of purchase price and related transaction costs. Our total debt is now approximately $1.1 billion equating to a leverage ratio of about 3.5 times debt to adjusted EBITDA. Since the announcement of the Scitor acquisition in March, we have communicated that we intend to deploy excess cash by honoring the recurring dividend and paying down debt until a more optimal leverage ratio of between 2.5 and 3 times EBITDA is achieved. We estimate that our required debt repayments under our credit facility will result in us reaching a debt to EBITDA level of three times by the end of fiscal ’17, utilizing approximately $100 million in excess cash flow over this period. Accordingly after considering funding the annual dividend of approximately $55 million per year, we expect to have remaining excess cash flow for incremental capital deployment opportunities during the second half of fiscal year 2016 and during 2017. We do not intend to hold cash above our target operating cash level of $150 million. We will soon be in discussions with our Board of Directors to consider the quarterly dividend and review all capital deployment opportunities. Finally, our long term financial targets remain unchanged and can be found in the supplemental presentation to this call on our Investor Relations website. Operator, we are now ready to take questions.
Operator: Thank you. [Operator Instructions]. And we’ll go ahead and take our first question from Cai von Rumohr from Cowen & Company.
Cai von Rumohr: Thank you very much and apologies, I was dropped off and got back on. So as you were talking about cash flow John, you mentioned the marine core $20 million receivable that should grow to $40 million. Was that expected at the time you won that contract that this would be this much of a cash flow drain?
John Hartley: Cai, thanks for the question. It was bid that way. We are working with the customer to try to adjust that payment cycle and a lot of it depends on the timing of the deliverables of the initial units. They are looking to perhaps accelerate the acceptance of the initial units, so that they can deploy those vehicles sooner, but that was generally expected. So I wouldn’t say it’s going to affect our capital deployment activity, it’s very predictable and expected. So it unfortunately does give us some headwinds coming into year-end, but we will do everything we need to do to make sure we stay on track with cash flow.
Cai von Rumohr: So was this basically because you’ve missed a delivery schedule because of their unwillingness to accept it. Is that the issue, so the terms haven’t changed, just the timing of delivery acceptance.
John Hartley: Absolutely not. We are exactly on schedule. It’s just the way the payment schedule was required. I believe everybody that tried to bid in that manner, because that was the request from the government paying office.
Cai von Rumohr: Okay, and then your cash flow, did you give any comments on the second half, because I was dropped out for a part of your call; cash flow for the second half?
John Hartley: Yes, I did and we expect a strong second half, even with that $40 million as headwind that we’ll have at year end, we do expect to be able to approach what we described before as our $200 million in operating cash flow over the second half of the year. So we do expect to have a strong cash flow in the second half and that leaves us with plenty of excess cash for deployment opportunities that we’ll be discussing with our board soon.
Cai von Rumohr: Thank you. And then last one, your bookings, this is normally your strong bookings quarter. Could you give us some color with your expectation for CEO, although not as bad as in prior years? What have we been seeing so far in this quarter and what’s your expectation?
John Hartley: I’ll certainly let Tony cover what’s happening in this current quarter. The third quarter is our stronger booking quarter as it straddles the government fiscal year end. This is about norms for what we’ve seen in the past for the second quarter and we grow into what is known as the highest bookings quarter in the third quarter.
Tony Moraco: Good morning Cai. This is Tony and I want just to add to John’s remarks. We’re seeing a little more proposal activity in this last and few summer months as we approach the end of the government fiscal year. I’d say it’s somewhat normative to the last couple of years. We don’t expect big moves. The customer projects are pretty well aligned. Their spending habits, the contract vehicle, we’re seeing a little bit more proposal activity on the year end request. We expect that to continue as we approach our likely CR in the first quarter government through up to 2016 and that may create the largest constant stability in the award decision cycle and we don’t expect it to increase. You might see some customers taking a quiet pause until we get to calendar 2016, but I’d say it’s barely normal from the prior years. The CR wouldn’t preserve the numbers, substantially it’s been pretty consistent and we do expect that the impact and sequestration discussions this fall will be less of an impact than it was two years ago because the budget gaps are substantially closer to what the customers are actually realizing and understand.
Cai von Rumohr: Great, thank you both very much.
Tony Moraco: Thanks Cai.
John Hartley: Thank you, Cai.
Operator: And next we’ll go to Edward Caso with Wells Fargo.
Edward Caso: Hi, good morning. Can you talk about the growth rate at Scitor? If we did our math right, it looks like it maybe down 5% year-over-year. Sort of is that in line with your expectations and where do you see that unit moving?
Tony Moraco: All right, good morning. Thanks for the question and yes, it is in line with our expectations. As we’ve seen, as the government budgets with the headwinds come in collectively, I think we’ve represented that over the last couple of years, Fed Civ reacted quicker. Defense and Intel slightly lagged as they were trying to sort out the strategic intent, our national security interest. So we do expect it to be in that flat range. It fluctuates in a very similar way to our overall budget trends, so not over reacting to any consolidation or contractions in a single quarter. But very much in line with expectations and we are still confident that the revenue synergies that we’ve explored since the due diligence, we can begin to submit it and have begun that process to realize the low single digit revenue growth as an enterprise and we believe that Scitor will help contribute to that in that IC still offers intelligence community offers expand on the growth opportunities for us in the portfolio.
Edward Caso: Can you talk about any change in pricing models? I’ve read recently in one financial disclosure about indicating that the clients are starting to move away from award fees. Are you seeing that? Are you seeing greater risk, less risk in the way clients are asking for pricing? Thanks.
Tony Moraco: Yes, I think in general we’ve seeing a couple of dynamics, probably a slight move from our hard core low price segment of acceptable and a bit more to a best value orientation. Some of the customers have realized the impact of going with the lowest bidder and swapping around encumbrance, but I think the pricing models, the price sensitivity is still there. I haven’t seen dramatic shifts in the contract types per say. We haven’t witnessed any material change in award fee application, but there is increasing dialogue of where that performance risk lies. And the contractors that have the strong best performance like ourselves can take on some of that risk to deliver on and drives higher fees and higher margins as a result. So I don’t think it’s changed substantially outside of – maybe a little more best value creeping into the equation and our ability to deliver on those expectations and always seeking opportunities to work more fixed price programs, because it does give us ability to further expand our margins and increase the quality of the pipeline and the supplement portfolio.
Edward Caso: Last question, when I check my notes we have written that your prior operating cash flow guidance is $200 million plus or over $200 million and I think I just heard approach $200 million. So is there a change here or am I referencing apples to oranges given Scitor.
John Hartley: I think its apples to apples. We said in excess of $200 million in a normative year on averaging over time, which we still fully expect with the acquisition costs which have come out of this year, also the headwinds from AAV, we’re probably going to be a little light of what we would be on a normative year, but we don’t expect that to perturb the overall value proposition.
Edward Caso: Fine, thank you.
Tony Moraco: Thanks.
Operator: We’ll go to Jon Raviv with Citi.
Jon Raviv: Hi, good morning everyone. Hey guys, could you talk a little bit more about your capital deployment opportunities in light of your suggestion that you feel that you’re at scale. Can you maybe take us through the menu of options; what internal and external factors push you in one direction or another?
Tony Moraco: Sure. So certainly we will honor our dividend. We think that pays a pretty healthy yield and we’ll continue with that. We’re not looking for any significant adjustment to that in the short term. We did raise it just recently last quarter to reflect the additional cash flow coming from Scitor. We do want to try to stay in our optimal leverage ratio and as I stated, our required minimum payments would get us to that 3.0 by the end of FY’17, just about in that range. So that leaves us probably an extra $100 million to $150 million, maybe even approaching even $200 million of additional excess cash through the end of ’16 and ’17 to deploy for other uses. We haven’t had a relaxed type or special dividend. The most efficient way we’ve seen in the past are share repurchases, but again we’ll be in discussions with our board soon to look at all the options available to us. As you can see, we’re not afraid to invest internally in our business as we did with AAV. Excellent program, excellent qualification that sets us up that nicely as a competition to some of the metal vendors out there that would have normally been awarded such work. So I would say those are the menu of options and we’ll be very thoughtful about it. We won’t be robotic, but we’ll be thoughtful.
Jon Raviv: Is there any particular timeline for that decision or is that just kind of ongoing.
Tony Moraco: It is an ongoing discussion. We have our board meeting coming up just in a couple of weeks.
Jon Raviv: Okay. And then just in light of the commentary that you guys I think now with Scitor you feel like you’re at scale. What does scale mean to you; what does that enable you to do and what would perhaps maybe change you’re thinking as to what would the opportunity be to have caps grow larger?
John Hartley: Yes, as we think about the scale of the business that is going up $1 billion, it does give us the flexibility to manage the collective indirect costs, to run the public company on a broad base, to keep our indirect rates in check. It also gives us the diversification across various markets. In this case the Defense Intel and Federal Civilian Space in particular and that diversification also allows us to pursue growth opportunities protecting the downside risk and are highly concentrated in any one market or one contract vehicle. So those things help in tampering any volatility of the portfolio, our rate. So it does give us investment profile for us to make trades in each customer set, but at the enterprise level we can make trades between the different market segments. $4.5 billion, its gives us that scales we’ve say is a diversification. There’s always opportunities to grow into other markets and that’s always approached the Intel space through the M&A of market access, but I think that $4 billion and above, you’re in a pretty strong place and dialogues in this market, the additional scale doesn’t necessarily lead to additional margins and as the government generally dictates in this space what the overall margin ratios are, there are opportunities to enhance that as we talked about it through value ads in our own labor and the pursuit of higher margin businesses which have also been on relation to spend. So that’s where we think about the scale at $4 billion, north of $4 billion and we’ll look for opportunities in the future that will help to grow that organically and then if necessary in acquisition markets where we would considered M&A as a strategic opportunity.
Jon Raviv: Thanks. I’ll hop back in the queue.
John Hartley: Thank you.
Operator: Next we’ll go to Jason Kupferberg with Jefferies.
Amit Singh: Hi guys, this is Amit Singh for Jason. Just wanted to clarify your revenue, so talking regarding Scitor, previously you have spoken about Scitor revenue growing faster than company average at around mid single digit year-over-year and as previously discussed this quarter, the revenues were down 5% year-over-year. So as your looking for the full year and you know you take Scitor’s revenue base of around $600 million, are you still expecting for the full year just the Scitor revenues to grow in that mid single digit year-over-year rate?
John Hartley: We think with our long term in the Intel business in particular, we do see that opportunity for that mid single growth. As we go through any integration, we expect it to be fairly flat, kind of just to mitigate the risk and understand the change manager and to the employer base, the contractor base, the supply to our portfolio, very strong prime positions, very strong continuity, ignition and dependencies that talk to their customers and so are confident in the long term projections. I think we see the integration process to be conservative in their performance in the first couple of quarters as we integrate and move into the strategic planning for our next fiscal year.
Amit Singh: All right, great and just looking at your bookings, I mean if you look at it on the last 12 month basis, your book-to-bill has remained at that 0.9 level for now, the last three quarters. I just wanted to get a sense of what is your expectation for the full year and when do you expect the other same book-to-bill sort of to be above 1 and if you’re looking at the current booking levels, are they enough to generate that slightly positive organic growth that you’re talking about in fiscal ’16 and beyond.
John Hartley: No, I think we’re still focused on our 1.0 performance overall. The quarter as we think about the task order refresh in our cycle, the 0.9 doesn’t secure the business models and the backlog flow. The customers are making their decision that’s been fairly consistent over the last couple of years. That fluctuation on the 0.9, the 1.0 and above really is predicated on the contract awards. We have a substantial amount over the $100 million mark. So part of it is timing on those contract awards and since we don’t take the bookings on IDIQ vehicles and so for the task order flow and 80% of our contracts are IDIQ, we tend to offer right around that 1.0 and that’s really just tied to the task order flow that that’s part of that volume. The 0.9 is very much in line, the 1.0 year-to-date as an annual number is very much in line and we’ve got the pipeline and the submitted proposals to support that.
Amit Singh: That’s perfect. Thank you.
John Hartley: Thanks.
Operator: And we’ll go to Bill Loomis with Stifel.
Bill Loomis: Hi, good morning. Just looking at the organic growth where you’re flat in the quarter, do you see yourselves meeting your long term goal or single digit growth this year on a organic basis based on where you see contract trends?
Tony Moraco: As we said, we do believe we can meet our goal of low single digit organic revenue growth on average and over time. As we stated in the past, this year is looking a little more flattish for the year, but that doesn’t preclude us from actually seeing some upside later in the second half. So again like I said before, it looks like a little more flat this year than what we expected over the long term, but again, low single digits over time we believe is in the queue.
Bill Loomis: And just looking in the second half, on your contracts can you talk about big recompetes over the next few quarters actually? Any meaningful changes in existing contracts that you expect over the next couple of quarters, two to three quarters also.
Tony Moraco: No, there is not any substantial movement on the recompetes or the large contracts. I think we’re pretty confident in the backlog that we see for the remainder of the year. These contract awards, they come in a typical transition period. So we’re optimistic around those awards and we are working that by ’17, but I don’t see any major upside, downside swings for the rest of the year.
Bill Loomis: Okay, and then just on your tires and lubricant, the MRO contracts, that type of business, how have those revenues trends have been with the continuing force structure. Are we actually seeing those stabilize and then also any change in the margin trends in that business.
John Hartley: Well, the margin trends are remaining where they’ve been, in the 4.5% to 5% level. The volume has been strong. There’s been a lot of pent up demand as some of the reset activities go on, but we have seen strong revenue in the supply chain and logistics area. How long that will last is yet to be seen. Generally there is year-end money that will float through at the end of the government fiscal year, so we’ll be watching those. We do expect supply chain revenue to be down year-over-year, but right now it’s holding pretty strong and consistent with the prior year.
Bill Loomis: When you say strong you mean flat, not upright.
John Hartley: Yes, it’s not declining the way you might expect it to with the throughput draw.
Bill Loomis: Okay, but it is declining.
John Hartley: We’re about flat right now. We expect it has declined because there is at least one and then a smaller one of the recompetes that were on reverse auction that we are unsuccessful in winning the recompete. So we’ll see some volume decline. We expect the margin on that not to suffer.
Bill Loomis: Okay, thank you.
Operator: Next we’ll go to Brian Ruttenbur with BB&T.
Brian Ruttenbur: Yes, thank you very much. First question I have is, you mentioned kind of a run rate for the combined company, about $4.5 billion. This would imply for the next couple of quarters about $1.1 billion to $1.2 billion per quarter for the rest of the year. So for our third fiscal quarter and fourth fiscal quarter at essentially two second quarter levels or better. Is that the right ball park to be thinking?
Tony Moraco: Our normal cadence is that Q3 is our strongest quarter. We do expect to run on a normalized basis now that we have cycled at over $1 billion in any given quarter. Q1 and Q4 are our lowest quarters, on average Q4 being the lowest and Q1 bouncing back and then ramping as we hit Q2, Q3. I don’t see us hitting say $4.5 billion this year, which would indicate some pretty substantial growth over what we saw last year, even with the addition of the $600 million roughly of the Scitor base.
Brian Ruttenbur: Okay, thank you. And then the other question I have is, it sounds like a little bit different tone on debt repayment. It sounds like you’re more open to instead of paying down as rapidly as possible your debt that you may want to reserve some of that for that excess cash to either do share repurchases or acquisitions. Is that a different tone or am I just new on this?
Tony Moraco: No, I didn’t say it’s a different tone and you’re not new on it. We still are committed to paying down that debt to get into our normative level of debt-to-EBITDA. Just looking at our required debt repayment under our Term A and Term B loans will be there by the end of FY’17. If we are any more aggressive on that just based on the minimum debt repayment requirement following that point, we would over shoot our target of 2.5 before the Term A became due, and so we are just being prudent to get down there quickly within our optimum level, but we do have some additional capital that we can go to the markets if we need to and when we need to, but not being so aggressive that we would overshoot our target. Okay and then as a follow-up to that last question, the CSC announcement, I’m surprised nobody else has asked about it, I guess they’ve asked around the edges. But does that put pressure on you to consolidate? I think you kind of answered that, that $4 billion enough scale, but it seems like $5 billion is the new standard, so I just wanted to ask the question.
John Hartley: Sure. No, we’ll continue to watch the market, but it’s been north of $4 billion and we get the competitive landscape and the federal government space, the number was operating in that 4 and above range. A lot of folks in the $1 billion plus or minus, plus $2 billion, it seems like there is a lot of dollars in that space at this point. Again seeking larger, we’re kind of caught in the middle between the significant number of small business that get some set aside benefit from our customers and a large, quite larger companies that have those scale and diversification I mentioned that helped stabilize the businesses. So I think it’s a mid-tier that’s experiencing some of that. Always opportunity again to look at the market access that will drive strategic growth over time, but outside of that, I think that’s the market dynamic that you are seeing as both private equities and the mid-tiers are looking to reposition the portfolios and some of the larger aerospace and defense primes to rationalize their portfolios with some extent that you are seeing as well to drive margins and focus their businesses. So fairly normative with what we’ve been hearing. Just the last six months to 12 we’ve been seeing the actual activities come out as a result of that.
Brian Ruttenbur: Thank you.
Operator: And we’ll go to our next question with Michael French with Drexel Hamilton.
Michael French: Good morning gentlemen, thanks for taking my questions.
Tony Moraco: Good morning Michael.
Michael French: I wanted to ask you Tony about a comment you made at the beginning. You mentioned that some of your business development executives have found some potential opportunities working together with Scitor. I was wondering if you could elaborate on the areas and maybe the size and the timing of what these opportunities look like.
Tony Moraco: Well, if you looked at the company itself and their market position, the growth in I think both companies at the time of the acquisition, we are thoughtful about the market access, one in which we have capabilities, we’ve developed and matured over time where we think we can sell into the intelligence community given the customer presence that Scitor has in their relationships. In turn we have consolidated our Air Force portfolios, the two businesses that were more modest than the other businesses. And again seek to do technology transfers from -- other Defense segments of between Intel and Defense to grow the Air Force portfolio. The selling services in the intelligence community that we’ve developed over time using that channel and our consolidated view of the Air Force are probably the two areas where we see that revenue synergy materialize, and the opportunities that we have, again based on the service lines and our capabilities that are already in place.
Michael French: Okay, thank you. And I wanted to ask about the potential for a CR. Is there any difference and would you expect any impact to the core business and Scitor given the different customer basis?
Tony Moraco: No, I really don’t see an impact where continuing resolution have been a fairly common occurrence over the last number of years. So we don’t really see that perturbing our contract awards, any customer behavior. It’s kind of isolated pockets where a customer maybe making a budget trade at some point, but the CR does offer continuity and given the government FY’15 and ’16 budget profiles, they are about inline, so there is not a big gap between an FY’15 run rate and an FY’16 budget profile. So this year at least it’s a pretty constant budget profile that we are looking at. So we really don’t see a CR as an impact. The duration might be interesting, whether it be 90 days or a full CR, full year CR, but again we don’t see that perturbing our business portfolio in either case, which is the government reaction to that.
Michael French: Okay, that makes sense. Thank you.
Operator: And that concludes today’s question-and-answer session. Mr. Levi, I would like to turn the conference back over to you for any additional or closing remarks.
Paul Levi: Thank you very much. I would like to thank you all for your interest in SAIC and hope you all have a good day. Thank you.
Operator: And this concludes today's conference. Thank you for your participation.